Operator: Good day, ladies and gentlemen and welcome to the Allegion Q3 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer-session and instructions will follow at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Tom Martineau, Director of Investor Relations. Sir, you may begin.
Tom Martineau: Thank you, Amanda and good morning. Welcome and thank for joining us for the third quarter 2014 Allegion earnings call. With me today is Dave Petratis, Chairman, President and Chief Executive Officer; and Patrick Shannon, Senior Vice President and Chief Financial Officer of Allegion. Our earnings release which was issued last night after market close and the presentation, which we will refer to in today’s call, are available on our website www.allegion.com. This call will be recorded and archived on our website. Please go to slide two. Statements made in today’s call that are not historical facts are considered forward-looking statements and are made pursuant to the Safe Harbor provisions of Federal Securities law. Please see our SEC filings for description of some of the factors that may cause actual results to vary from anticipated results. The company assumes no obligation to update these forward-looking statements. Our release and today’s commentary includes non-GAAP financial measures. We believe these adjustments reflect the underlying performance of the business when discussing operational results and comparing to the prior year periods. Please refer to the reconciliation in the financial tables of our press release and the 2013 quarterly information in the appendix of today’s presentation for further details. With that, please go to slide three, and I will turn the call over to Dave.
Dave Petratis: Good morning, everyone, and thank you for joining us today. I am pleased with the performance of Allegion in the third quarter. Our team delivered solid operational leverage with a nice increase in demand. Revenue were 546 million up 6.8% on an adjusted basis versus last year and up 6.4% on an organic basis. The American region led the way with 8.5% organic growth with increases in non-residential, residential and Latin American segments. Adjusting operating income of 110 million increased 15.4% versus last year, all regions contributed margin improvement resulting in an increase of adjusted operating margin of 150 basis points for the company. We delivered reporting earnings per share of $0.64 which includes $0.04 of restructuring and one-time separation cost resulting in an adjusted earnings per share of $0.68. This is an increase of 41.7% versus the prior year. We are increasing our full year EPS guidance which is now forecasted to be $2.37 to $2.42 on an adjusted basis and $2.07 to $2.12 on a reported basis. This earnings forecast assumes adjusted revenue growth of approximately 4.5%. Please go to slide four. We continue to focus on our key growth strategies that create practical solutions and innovative products that meet our customer needs. We’re making great progress in Europe and although we are seeing additional market headwinds, I am pleased with the continued improvement in margin performance. Our focus on key markets improving the portfolio and management of the internal cost structure are continuing to resolve in improved financial results. In the Americas, we began to pilot initiative focused on the commercial repair and renovation segment. Specifically this would be the portion of the market that focus on fast moving quick ship delivery. Historically this has been an underserved market for Allegion consistent with our strategy on core market expansion we will look to position ourselves in the channel to enjoy a bigger part of this large market segment. Capital allocation management continues to be a key element on our measurement of success for the business, Patrick will provide and update on this a little later. Please go to slide five. Allegion continues to lead the way as businesses and residential consumers are increasingly choosing electronic locks and credentials. As we see this convergent across the globe we are now experiencing what we’re calling the keyless era which is all about convenience. Our solutions are redefining the way people connect with and control their homes and offices. We launched our latest advancement engaged technology at the [ASIS] conference in September. ENGAGE technology delivers a new level of security, connectivity and convenience to commercial office buildings and tenant spaces. ENGAGE technology provides a solution that is not only easy install, manage and use but it also affordable. Cloud-based mobile and web app make it easy to manage locks and users from anywhere supporting the growth or changing needs of a business or building. The Schlage NDE wireless lock fits a standard cylindrical door and can be installed in a few minutes with just a screwdriver. ENGAGE technology provides opportunity to expand in underserved markets. We will begin shipping in the US in the fourth quarter and we’ll expand globally in the future. Later this year, we’ll expand our keyless era offerings with several products that continue to redefine the way people enter, exit and connect with their homes. Patrick will now walk you through the financial results and I’ll be back to update you on our full year 2014 outlook.
Patrick Shannon: Thanks Dave and good morning everyone and thank you for joining today’s call. Please go to slide number six. Reported net revenues for the quarter were $546.7 million reflecting the increase of 3.3% versus the prior year. Adjusting prior periods for a previously discussed order flow change with our consolidated joint venture in Asia, net revenues increased $34.6 million or 6.8% versus the prior year. Organic revenue growth which excludes the impact of our recent acquisitions, the UK door divestiture and foreign exchange rate fluctuations was up 6.4%. We’ve realized high single-digit growth in the Americas with growth in all segments of the market, US commercial and residential segments increased mid-single-digits with Latin America up significantly primarily due to incremental price realization in Venezuela to offset inflation. EMEA revenues were down slightly in the quarter as geopolitical unrest and currency volatility late in the quarter created market headwinds. Asia Pacific revenues were up mid-single-digits driven primarily from an acquisition which occurred in the second quarter. Adjusted operating income of $110.4 million increased 15.4% compared to the prior year. Adjusted operating margin of 20.2% reflects an increase of 150 basis points versus the prior year reflecting good operating leverage on incremental revenues. We are extremely pleased with the incremental operating leverage of the business particularly as we continue to make incremental growth investments for new products and channel development in order to accelerate our earnings growth and return on capital. Please go to slide number seven. The slide reflects our EPS reconciliation for the third quarter. For the third quarter of 2013 reported EPS was a negative $0.81 adjusting for prior year restructuring a land sale gain and an asset impairment the 2013 adjusted EPS was $0.48, operational results increased EPS by $0.13 as pricing, productivity, and favorable operating leverage more than offset inflation. Note that the pricing actions were taken in the quarter to offset increased inflation particularly in Venezuela. The decrease in the adjusted effective tax rate to 29% grow $0.21 per share improvement versus the prior year. The decrease in our effective tax rate is primarily due to favorable changes in the mix of pretax income as well as adjustments made in the third quarter of 2013. The next slide reflects the reduction of $0.06 per share related to the incremental interest expense incurred as a result of the additional indebtedness associated with the spin-off (inaudible) ramp. Next, incremental investments and ongoing growth in corporate initiatives tie to our strategy specific to taxes and M&A were a $0.04 reduction. Of note, the volume benefit shown earlier on the reconciliation more than offsets the incremental investment. Increase non-controlling interest and a higher number of weighted average diluted shares outstanding in aggregate represented a $0.04 reduction in EPS. This results in adjusted third quarter 2014 EPS of $0.68 per share. Continuing on, we have a $0.04 per share reduction for restructuring and spin related expenses to arrive at the third quarter 2014 reported EPS of $0.64. Please go to slide number eight. Third quarter revenues for the Americas region were $423.1 million up 9% on an adjusted basis. Removing the impact of Venezuela and price increases revenues were up 5.8% on an adjusted basis. Removing the impact of acquisition and foreign currency, organic revenue was up 8.5%. Higher volumes, Venezuela pricing and the acquisition of Schlage, Colombia in January 2014 offset unfavorable currency movement in Canada. All market segments delivered incremental volume growth, volumes improved in the commercial segment by mid-single digits as we began activities in the US markets to build repair and renovation capability with our channel partners as well as some incremental business ahead of announced price increase effective October 6. US residential growth in the mid-single digits was driven by the strength in the global markets. America’s adjusted operating income of $122.9 million was up 12.2% versus the prior year. Adjusted operating margin for the quarter increased 80 basis points due to favorable volume leverage, price and productivity that more than offset inflation and ongoing investments in new product and channel development. Please go to slide number nine. As we review the EMEA results, please keep in mind our UK door businesses have been moved to discontinued operations. Third quarter revenues for the EMEA region were $89.5 million down 2.8% and down 0.9% on an organic basis. Favorable currency movement early in the quarter offset unfavorable September impacts. We anticipate exchange rates will continue to be a headwind in the fourth quarter would note that most of our expenses are also in the region and we’ll minimize the associated margin impact. Markets continue to be soft in the region in most major countries. EMEA adjusted operating income of $1.2 million was up 129% versus the prior year. Adjusted operating margin for the quarter was 1.3% up 570 basis points. Favorable pricing, productivity in excess of inflation and foreign currency exchange movements offset increased investment spending and unfavorable volume leverage. The benefits of previously announced restructuring the region supported the increase in productivity, this quarter represents the fourth quarter in a row in which the region has improved operating margin performance. Year-to-date, adjusted operating profit has improved by $10 million or 350 basis points. Please go to slide number 10. Third quarter revenues for the Asia Pacific region were $34.1 million up 6.9% and up 1.9% on an organic basis. The revenue growth was primarily due to the acquisition of FSH hardware volumes grew in the North Asia, Australia and New Zealand regions lower systematic ration revenues were mostly timing driven as ending Q3 backlog was strong. As announced yesterday, Bocom System won a significant safe city project valued at approximately $25 million. Asia Pacific adjusted operating margin of negative $500,000 was up $400,000 versus the prior year. Adjusted operating margin improved a 130 basis points. The improvement in margin was driven by the FSH acquisition and improved business mix. Please go to slide number 11. We generated a $135 million of available cash flow year-to-date. The decrease in available cash versus 2013 reflects incremental capital expenditures for new product development, information systems and spin related projects. As you can see from the graphs, we continue to demonstrate effective working capital management as well as improvements in our cash convergent cycle. We continue to target available cash flow for the year to approximate 100% of net earnings from continuing operations. Please go to slide number 12. As Dave mentioned earlier, I want to take a moment to reaffirm our commitments to a balanced and flexible capital allocation strategy. We ended Q3 with the gross debt-to-EBITDA of 2.9 against the target range of 2.75 to 3.25 and earlier this month we announced the amendment of our existing credit facility that lowers our cost of capital and assuming constant LIBOR rates will result in approximately 5 million with annualized interest expense savings. We continue to fund incremental investments through organic growth through new product development and channel strategies to accelerate core market expansion. We remain focused on acquisition opportunities in emerging markets, emerging technologies and product portfolio expansion. Integration of previous acquisitions are on track and they are making contributions for our financial results. We’re making good progress on developing our acquisition pipeline, tighter or long term strategy as well as developing our competencies globally in this area. We will continue to view shareholder distribution as a key component of the allocation. The company has repurchased approximately 1 million shares year-to-date for $50.3 million. Please go to slide number 13. You’ll remember the slide from our Investor Day when we discussed our effective tax rate expectations. We continue to view our structure as a strategic asset of the company that we can leverage to facilitate operating strategies and to achieve a lower effective tax rate to accelerate earnings as well as cash flow growth. We ended 2013, with an effective tax rate of approximately 38% this was a result of tax essentially being prepared on a standalone or statutory rate basis. Our first communication for 2014 was that we anticipated an effective rate of 31% and then updated our guidance last quarter to reflect a 30% rate. Subsequent to this, we’ve continued our tax strategy and planning efforts and we now anticipate a full year 2014 tax rate to be approximately 28%. The reduction from a prior guidance was a result of accelerating the execution of tax planning strategies. And as we’ve discussed previously we set an initial target of a mid-20 rate by 2016. I’m happy to report that we will exceed this target by 2015 a year earlier than originally anticipated. And I’d also like to add that we do not see any impact or tax strategy with regard to recent inversion and Irish tax legislation changes. This was all made possible by the efforts of our strong tax team which evaluated and prioritized opportunities and invested appropriately to support the accelerated reduction in the effective tax rate. In addition, based on what has been achieved and a better view of the opportunities we have revised the objective to be below 20% by 2016. I will now hand it back over to Dave for an update on our full year 2014 guidance.
Dave Petratis: Thanks Patrick. Please go to slide 14. For 2014 we expect revenues to be up approximately 4.5% for the full year. In the Americas, we expect high single-digit residential revenue growth and strong Venezuelan growth driven by pricing actions to offset material and other inflation. And although we realized nice growth in the quarter we still only expect modest non-residential revenue increases for the full year as institutional market recovery continues at a very slow pace. Our outlook for Europe revenue growth is now at negative 2% slightly worse than previous expectations. This reflects the net impact of our portfolio pruning, the currency exchange headwind that began in September and general market softness. Of note increased geopolitical uncertainty in the region continues to limit overall recovery and is an obstacle for a sustained growth. Given our system integration backlog exit in Q3, we are guiding to the revenue growth of approximately 10% in Asia Pacific region as previously announced our Asia Pacific team to our Bocom System brands and an alliance with China Telecom one the Wuhu, Citi Skynet project valued at approximately 25 million. This project continues our success with safe city projects in China. Please go to slide 15. We are increasing our 2014 EPS guidance. Adjusted earnings per share are now forecast to be in the range of $2.37 to $2.42 an increase of 10% to 12% from 2013 adjusted earnings per share. This is driven by operational improvements, European actions and a reduction in the effective tax rate while investing and positioning the company for future growth. Restructuring spin cost and the write off of debt issuance cost related to the amended credit facility are expected to be approximately $0.30 of the impact during the year resulting in an EPS range of $2.07 to $2.12. The effective tax rate assumption in the guidance is approximately 28% and outstanding diluted shares are approximately 97 million. Finally, the guidance does not reflect the potential risk of a devaluation of the Venezuela Bolivar. For more information on this topic, please refer to our Form 10-Q filed with the Securities and Exchange Commission for the period ended September 30, 2014. I know everyone is interested in 2015 and we are in the process of developing our guidance and we’ll provide more detail in our next earnings call. I can assure that we expect modest growth to continue next year with a continued slow March to recovery. U.S. residential markets are still a number of years away from what I believe to be a normal construction level of 1.5 million homes. And we are planning on unpredictable non-residential recovery but are positioned well to meet demand if recovery exceeds expectations in the year. Where we still see meaningful European growth occurring after 2015 we believe the 2015 European market will remain flat to negative driven by weak GDP growth political uncertainty and high debt levels. And the Asia Pacific market will continue to be one of the strongest growth regions albeit at a slower pace than recent history. Our plan for double-digit earnings growth in the business remains given the solid business fundamentals margin enhancement opportunity particularly in Europe and the tax rate reduction. Please go to slide 16. So to summarize I was pleased with the results and solid performance in the third quarter, we demonstrated the strong leverage potential of the company given revenue growth. We continue to focus on what matters, leaving the electro-mechanical convergence, driving core market expansion, improving European profitability, executing our tax strategy and driving on a balance and flexible capital allocation plan. I feel good about where we are in our first year and we are positioned for fourth quarter and long-term success. Now Patrick and I will be happy to take your questions.
Operator: Thank you. (Operator Instructions) Our first question comes from David MacGregor with Longbow Research. Your line is open.
David MacGregor – Longbow Research: Yes, good morning everyone.
Dave Petratis: Good morning David.
David MacGregor – Longbow Research: North America strong performance so you had very strong incremental margins so I’m just wondering was that the Venezuelan FX or could you just talk about the factors behind those strong incrementals?
Dave Petratis: Yes so I would say Venezuela they contributed a little bit to the market improvements, we’ve done a really good job in terms of offset inflation or price improvements exceeding inflation so there is some contribution there. So we’ve been really pleased with the operating leverage in our core facilities here in Americas both on the commercial and residential side. So I think you’re seeing a really good uplift in margins as associated with the incremental volume primarily. Good productivity offsetting inflation.
David MacGregor – Longbow Research: I guess it looks like you’re leveraging off investments that maybe you’ve made in the past and so you had less incremental costs associated with those revenues, how much further sort of run rate you have in front of you on this, how much could we see incremental margins stay strong like this for the next couple of quarters or is it longer?
Dave Petratis: I think we’re leveraging investing of the past if you look at the roof line take outs and lean implementations in North America that have been driven over the last few years, we proved in Q3 that increased revenues have significant leverage capabilities in the company and as markets returned to normal we’re very positive on our potential.
Patrick Shannon: Yeah and I would just add a lot of the incremental margin will also be dependent upon our future investments. So we’ve always kind a say we try to balance the two making sure we get some incremental margin associated with the incremental investments that drives future growth. So in the future you may not see such a big increase but it’s all going to be dependent upon the level of investments we put in the business.
David MacGregor – Longbow Research: Okay thanks for that. And then just secondly, can you just talk about within North American and your non-res business velocity through the quarter and how October may fit into that.
Dave Petratis: I thought we commercially went out and took the opportunities that were on the table. I wouldn’t call it velocity, the market was there we are able to convert it. We talk about in the discussion this morning that we believe there is growth opportunity in the fast moving true stock businesses. I felt in coming into the business that there was an opportunity there we’ve ran some cast regions and what we called pro-express and the results were favorable. So in markets that maybe uncertain we’re working hard and what I call self-help to get more than our fair share and this R&R like commercial space.
David MacGregor – Longbow Research: Would that account for the increase spend and the finished goods inventories?
Dave Petratis: A little bit but not significantly.
David MacGregor – Longbow Research: Okay. Thanks very much.
Operator: Thank you. Our next question comes from the Robert Berry with Susquehanna International Group. Your line is now open.
Robert Berry – Susquehanna International Group: Hey guys good morning.
Dave Petratis: Good morning
Robert Berry – Susquehanna International Group: Nice work on the tax rate. Maybe I wanted to actually just start there and clarify it sounds like the outlook now for 2015 is that the rate would be below the mid-20s.
Dave Petratis: Yeah that’s correct. I think a good way to think about it this year we’re ending about a 28% effective tax rate we’ve got a glide path and pretty good visibility by 2016 to get to 20%. The majority of that reduction of 8 points you would see next year.
Robert Berry – Susquehanna International Group: And would you expect it to kind of filtering gradually through the year or should we just assume for the whole year whatever you’re going to assume below the mid-20s.
Dave Petratis: So we’ll give more specific guidance in our fourth quarter earnings call relative to the annualized effective tax rate, but you will see it pretty much the whole year. As we continue to execute additional strategies and there will be some added benefits during the course of the year, but most of that will come in beginning of the year.
Robert Berry – Susquehanna International Group: And what’s the rate you’re assuming in 4Q.
Dave Petratis: We’re about with the full year effective tax rate of 28% or about 24% for the quarter.
Robert Berry – Susquehanna International Group: 24% okay. And then maybe just shifting focus to the Americas region it sounds like well it was very solid in quarter very good volume growth. But it sounds like there is some real caution around 4Q and easing. Is that just conservatism or was there strength in 3Q that was a little abnormal you don’t seeing carrying forward.
Dave Petratis: I believe this recovery is been one of the choppiest of my business career. So we’re cautioned, our business softens in Q4 and in the Q1 just because of the construction season we’ve got to be mindful of that. We’re going to continue to focus on this commercial R&R through stock capability that will take several quarters and years to really master but I feel good about our position.
Patrick Shannon: Yeah and then I would also add looking at the results is probably a little pull forward from Q4 and to Q3 in conjunction with our previously announced price increase that went into effect the first week in October. And if they talked about this repair replacement market, the new promo that we had in the market there for that so.
Robert Berry – Susquehanna International Group: And then just finally a clarification on the impact from Venezuela price in the quarter. Is that just over a 3% or what was the impact from Venezuela on pricing in Americas?
Patrick Shannon: So Venezuela price increase was basically if you look at the total increase for Americas up about 2.7% and our pricing all of that was associated with Venezuela. So commercial and residential were essentially flat for the quarter.
Robert Berry – Susquehanna International Group: Right. Okay, great thank you.
Dave Petratis: Yeah. Thank you.
Operator: Our next question comes from Jeff Sprague with Vertical Research. Your line is now open.
Jeff Sprague – Vertical Research: Thank you and good morning fellas.
Dave Petratis: Good morning Jeff.
Jeff Sprague – Vertical Research: Good morning. Just a couple of questions back to the repair and renovation opportunity. As you stepped into that how is your view evolving on actually the size of the opportunity. And have you seen any competitive response obviously your gain there is someone else is paying and just wonder what the market reaction is if you’ve seen that yet.
Dave Petratis: We have size the opportunity we put it $1.4 billion to $1.6 billion. We think we get less than our in title share of that have not seen the competitive response. I think you’re familiar with the electrical industry. Having stock on the shelf and managing that through stock business have been neglected in our business model and believe that we can flex our capability there and whether a competitive response.
Jeff Sprague – Vertical Research: Have you size your revenues there now current.
Dave Petratis: Say it again.
Jeff Sprague – Vertical Research: What’s your revenue take in that piece of the market currently.
Dave Petratis: I would more from a share perspective low single-digits. You get into the institutional and new construction we go up 25% to 30%. So we think there is gain there. We think we’ve got some opening price points. Product gaps that we’ve got a deal with but we see it is very opportunistic.
Jeff Sprague – Vertical Research: And I was wondering if you could comment a little bit on institutional you gave some – color there, but sounds like we’re still just kind a bumping along the bottom is that fair or do you see a little bit of a turn have thing. Just a color.
Dave Petratis: I am bumping along the bottom with it, we’re cautious I would say 2015 will lean positively, but this is a slow grind to normalization.
Jeff Sprague – Vertical Research: Yeah. And then just one last one and then I’ll move on for Patrick. Patrick should we expect to cash taxes to come down and locks up with just kind of what’s going on in the P&L.
Patrick Shannon: Yeah that the delta between book provision and cash should be relatively same actually cash will be lower this year so yes, it’s at. So as the tax rate comes down that provides obviously more cash flow for the business to invest for future growth. So it’s a good thing.
Jeff Sprague – Vertical Research: Great. Thank you very much.
Operator: Our next question comes from Steven Winoker with Sanford Bernstein. Your line is open.
Steven Winoker – Sanford Bernstein: Yeah thanks and good morning all.
Dave Petratis: Good morning.
Steven Winoker – Sanford Bernstein: Maybe just on the tax rate. What is the is there any US margin impact overtime as part of your strategy in other words do you see any headwinds to US margins as you start to down this tax rate path more aggressively.
Patrick Shannon: So as you guys know the majority of our pretax income is US centric. As we look into our strategy and kind of looking at what we think the potential rate can be in the future. We did not take into account any significant change in the mix of earnings. So that wasn’t take in account. But as our businesses grow internationally and we improve the results at both Europe and Asia. I mean that will help a rate a little bit but not significantly.
Steven Winoker – Sanford Bernstein: Okay, alright. And secondly on EMEA, could you maybe give us a little more depth on is there progress there. Clearly you talked about weak markets one of your competitors noted I think 3% organic for themselves for they’re more Northern European weighted. What in terms of how should we think about kind of market impact versus the things you’re doing yourself consciously to narrow your scope and drive prior margins in the future?
Patrick Shannon: I think you’re probably familiar that we trend the portfolio in the UK with our door business. Our numbers are adjusted for that. It what you see is the softening of the business. I talk about that there is five or six markets that we’re really well positioned in Italy, Spain is the example Greece. These are weak markets I’ve certainly would trade some of the economic growth in Northern Europe. We think our Interflex business which is more access control is driving some growth but as we look at the overall space we’re not encouraged that the markets is gone help us.
Steven Winoker – Sanford Bernstein: Well I guess the question from me then is the 6% and 19% goal as you’ve called out previously. Are they still do they still apply a very much they did or any change in thinking on that front.
Patrick Shannon: Yeah so the way I would characterize it is a lot of good progress this year should be up 300 basis points relative to last year’s numbers. We’ve got some restructuring benefit that will carryover in next year that will give us nice tailwind there. I’ve got pretty good line of site to like an 8% margin basis of current volume. If you kind a look at the opportunities in terms of we still have a couple of unprofitable segments in the business that we can change. Taking a rightful shot approach from a pricing perspective not only markets centric but also looking at specific customers and then accelerating our productivity on the lean initiatives. To get to the 10% goal still have some wood to chop, but I think we can get there, but that would be on a kind of a flat volume relative to today. If markets continue to weakened and we’ve got some pressure on volumes that will put pressure on live margin of 10%.
Steven Winoker – Sanford Bernstein: And Patrick what timeframe is that 8% around.
Patrick Shannon: That would that’s a 2016 again good line of sight that. And need to execute some additional initiatives to put bridge the gap to 10%.
Steven Winoker – Sanford Bernstein: Right 2016 average margin though right.
Patrick Shannon: Yes, yes.
Steven Winoker – Sanford Bernstein: Okay, alright. I’ll hand it off thanks.
Patrick Shannon: Thank you.
Operator: Our next question comes from Saliq Khan with Imperial Capital. Your line is open.
Saliq Khan - Imperial Capital: Great thank you. Good morning guys, taking behalf of Jeff Kessler today. Two real quick questions, the first one regarding Europe. Potentially as you’re looking at the discretion improvement and trend in Europe. Many of the integrators that are out there right now would likely choose between an Allegion, [Alsa] and [Caba]. What are you doing right now essentially to be able to raise the overall profile with the distributors?
Dave Petratis: Great question. Number one is a more work around our specifying capability. We were hanging on what I call three stock model you’ve got a create demands from specification. Our partnership with [Eco Sholtek] is a good example of that they’ve got an outstanding lean door offering and it gives us the opportunity to go in to specifies and talk about products that compete on fast and allows us to pull through stock products. So more work to do that some model investment. As I think about specifying pulls I tend to like to have people in a common room that are going out to customers versus one in Paris one in Bellona, one in Madrid. So that’s where we’re working. Second would be transferring some of our own lean initiatives to make that we’re – our cycle times are shortened our delivery commitments are solid it would be a couple of areas.
Saliq Khan - Imperial Capital: Great thank you. The other question I had was and sticking with the Europe itself. Interflex you guys have mentioned this previously this was the business that’s been pre-sheltered with a relatively decentralized management team under in [crystal] obviously. So over the last 14 and 16 years the margins though if I recall the margins have been up for this business. Is there any other update that you guys are able to provide us we feel like this is a much better business model now than it was previously under the previous management team.
Dave Petratis: Well thanks for that. If you visit us at the [SN] Show in Germany Interflex presented as a standalone company. We have named a new general manager for that business and with an effort to trying get them some oxygen I want to look at them and their performance and we’ve set them up to do that. The second thing that we’re really transforming there and it’s part of our restructuring is they were trying to use direct go-to market model out of Germany and it was not working. We push them towards the VAR model it’s in its infancy but I believe it’s the right path. When I was at the [SN] Show I had the opportunity to speak with AON, the large insurance group Airbus, large auto manufacturers that we’ve been successful with. They love the product they love the support we just need to get that out of the – beyond the German borders we think the VAR model helps us do that. Good little asset in that European portfolio.
Saliq Khan - Imperial Capital: Great. Well I have one more question sorry. As looking at essentially the electronic locks in the access control industry (inaudible) it for that business essentially somewhere about ballpark of – little bit lower than the mechanical side. I envision that would reverse to some point. Is there anything that you’re seeing in the marketplace that could help us better understand that.
Dave Petratis: Ask me that question once more.
Saliq Khan - Imperial Capital: Sure as you’re looking at the electronic locks in the access control business overall, the margins tend to be say 8% to 15% lower than the mechanical side. It could be functionally possibly hard complexity as well. And that I would envision would likely reverse to some point. Is there anything that you’re seeing in the marketplace right now that can provide us more color within that?
Dave Petratis: As I think about our ENGAGE technology and the NDE platform. In my mind it opens up opportunities to-date. Yes you’re right it’s the margins could be a bit softer than our mechanical. But it creates a new market opportunity it’s like going from analog phones to digital phones. It’s like going from cable TV to satellite I means it’s we’re opening up new markets people were not considering automating their locks because you had very high price complex installation capabilities with the screwdriver and an iPad you can install these lock capabilities. So we don’t expect a lot of cannibalization we’re really for a commercial building order simplifying his life with new products. We’ve just got it out there more to learn but from my perspective we’re opening up new markets.
Saliq Khan - Imperial Capital: Great. Thank you all.
Operator: Our next question comes from Jeremy Kepron CLSA. Your line is now open.
Jeremy Kepron – CLSA: Thanks and good morning. Could you comment on mix and pricing going into the next couple of quarters understand the residential growth is sort of coming down and non-res on the other hand is should be picking up a little bit. And if we exclude the Venezuela effect, how should we think about mix in prices going forward.
Patrick Shannon: So as we discussed we execute it as a price increase at the beginning of this quarter. I would anticipate that we should see better price realization in our core business area in Americas than Q4 compared to what we saw in Q3 not significant but some incremental volume there. From a mix perspective don’t see a big change relative to the mix I mean maybe a little bit higher residential and mechanical business, but wouldn’t anticipate that to have a significant impact on margins particularly relative to the prior year quarter. So not a big impact there.
Dave Petratis: Right I would also say from a revenue standpoint demand is going to hold steady. As we go into Q4 and Q1 it some of the softest period of the construction year and we want get the volume leverage that we would enjoy like in Q2 and Q3.
Jeremy Kepron – CLSA: Okay and Dave can you give us an update on the M&A landscape what are you seeing, are you seeing the asking price is coming up particularly when you look at Asia and just give us a sense of what we should expect over the next 8, 12 months as from a region in terms of M&A?
Dave Petratis: There is a lot of work in building this M&A pipeline, satisfied with the progress we got more work to do I challenged our general managers get our teams engaged in terms of technology and opportunities building those relationships and opportunities. I spent a week in China building relationships the softening there may be increases a little bit sense of urgency but you look at that market over the next five years it’s going to double so a big step change in valuations I don’t see it. I’m pleased with the progress we’re making in terms of the building of the pipeline of, it’s a high priority for us and it takes a lot of work.
Jeremy Kepron – CLSA: Okay. Thanks very much.
Operator: (Operator Instructions) our next question comes from Charles Clarke with Credit Suisse. Your line is now open.
Charles Clarke – Credit Suisse: Hey guys.
Dave Petratis: Charles good afternoon.
Charles Clarke – Credit Suisse: Just had a couple quick housekeeping items, few things that surprised me just in the quarter to non-controlling interest and the corporate expense, I mean the corporate expense came up like 70 million bucks sequentially non-controlling interest as well as just to know if there are any comments on kind of why or kind of how would you think about those two line items kind of moving forward?
Dave Petratis: Well I’ll take corporate expense, Patrick will provide some comments as well. Number one investing, I think everybody is pretty pleased with the optimization of our tax structure and methods we’re spending on longer-term tax rate that doesn’t come from freight. I would say Patrick and I view on that as we’ve been very aggressive from an investment perspective to make sure that that realization comes true we think it is a very good trade up second is, we were active on the M&A pipeline, due diligence is expensive it doesn’t mean we put something on the hook. Third is as we have stepped up our electronic investments in new products making sure that we protect ourselves from a patent portfolio patent exposure has been significantly more expensive than we’d budgeted and then the last would be IT we as we have split off from – there were needs again we want to make sure that we got the IT capabilities to be able to support a very profitable business so those would be some of things. On the non-controlling Patrick?
Patrick Shannon: Yeah on the non-controlling interest, a big piece of that is related to our joint venture with Venezuela and so you’re seeing a step up in the performance relative to that entity and that would be the sequential on year-over-year increase there.
Charles Clarke – Credit Suisse: Okay great and then just to confirm the refinancing that you guys worked on this month that should bring the interest expense down by 5 million bucks next year?
Dave Petratis: Assuming the same LIBOR rates as today yes.
Charles Clarke – Credit Suisse: Okay, great. Thanks. I’ll hop back in the queue.
Operator: Our next question comes from Joshua Pokrzywinski with Buckingham Research. Your line is open.
Joshua Pokrzywinski – Buckingham Research: Hi good morning guys.
Dave Petratis: Good morning.
Joshua Pokrzywinski – Buckingham Research: So I guess just a clarification from that last question on corporate expense Dave you gave a lot of detail there on what’s driving that in the near term is that to say that we’re seeing a permanent step up in corporate expense to some double-digit number quarterly to support this lower tax rate or is it kind of with a one-time investment to get that optimized and then corporate sells out something more sustainably lower?
Dave Petratis: No I think you got to look at it like sustaining going forward it will be in the double-digit area for the balance of this year and then going into 2015. Some of it is to what Dave had talked about and some of it is just additional cost associated with standalone publicly traded company.
Joshua Pokrzywinski – Buckingham Research: Okay that’s helpful and then on the I guess implied 4Q particularly in Americas I know you mentioned some pull forward there do you have a rough sense of what that would look like and then I guess just thinking about how all that rolls up in the EPS guidance it seems like the others are pretty draconic outlook for Americas margins implied in that if you’re going to get that that 300 basis points you talked about in EMEA it seems like the plug number seems to be a lower margin in the Americas and if I recall you have a pretty easy comp there from last year so I guess just first what’s the pull forward and then second what should we be thinking about is in the outside driver on margins in the fourth quarter in Americas?
Dave Petratis: Yeah so the pull forward I would call it low single-digits millions there or assuming mid-single-digits it’s not a significant pull forward but if you look at the percentage of year-over-year revenue increase 1.5% increase there as result of that relative to the margins going forward you’re exactly right there is an easy comparison for this year relative to 2013 what we are anticipating margin improvement in Americas and we’ll see that just through the incremental volume leverage productivity offsetting inflation some incremental price realization the comments on Europe, just to be clear the 300 basis points last year we reported 1% operating margin this year we’ll end a little bit north of 4% of 300 basis points when you restate for the UK door divestiture year-over-year it’s more like 200 basis points so that maybe a part of your delta that you’re seeing. The other piece relative to the global margin relative to the prior year comparison as Dave talked about you’ve got some headwinds relative to the corporate expenditures that’s putting a little pressure on that overall margins.
Joshua Pokrzywinski – Buckingham Research: Okay so I guess you should still see good volume leverage in the fourth quarter it’s in Americas maybe some of that’s easy comp and margins in EMEA should still be seasonally pretty solid and maybe there is some fine tuning there around with the year-over-year old slide just based on some mix issue or I guess the different composition in the business?
Dave Petratis: Yeah correct.
Joshua Pokrzywinski – Buckingham Research: Okay and then I guess just lastly how are you guys thinking or not thinking about the cadence of capital allocation here you’ve been asked this you’re in the better part of the year at this point I think the pipeline you’ve mentioned you’ve done a lot of work there how periods we see you guys kind of dip the tail in the water into buyback in the absence of deals kind of from this point now that you’re flushed out a little bit more of a pipeline?
Dave Petratis: I would say we’ll continue the balanced approach if we think stock buybacks, leads embedded discounts we have the ability to flux M&A will remind the priority. Organic growth as we’ve displayed in this quarter is a great lever we like this investments in this R&R and like commercials in the U.S. but we’re prudent we’re investors and where we see good long-term return opportunities we’re going to pull those levers.
Joshua Pokrzywinski – Buckingham Research: Got you that’s helpful. All right thanks guys.
Operator: Though I am showing no further questions at this time, I’d like to hand the call back to Tom Martineau for closing remarks.
Tom Martineau: Thank you and we appreciate everybody joining us today for the call. Have a safe day.
Dave Petratis: Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does concludes today’s program, you may all disconnect. Everyone have a great day.